Operator: Thank you for standing by, and welcome to the Lightbridge Corporation Business Update and Second Quarter 2024 Conference Call. Please note that today's call is being recorded. It is now my pleasure to introduce you to Matthew Abenante, Director of Investor Relations for Lightbridge Corporation.
Matthew Abenante: Thank you, Marvin, and thanks to all of you for joining us today. The company's earnings press release was distributed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at www.ltbridge.com. Joining us on the call today is Seth Grae, Chief Executive Officer; along with Andrey Mushakov, Executive Vice President for Nuclear Operations; Scott Holcombe, Vice President of Engineering; and Larry Goldman, Chief Financial Officer. I would like to remind our listeners that any statements on this call that are not historical facts are forward-looking statements. Today's presentation includes forward-looking statements about the company's competitive position and product and service offerings. During today's call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. This presentation is based on current expectations and involve certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge's filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements whether as a result of new developments or otherwise. And with that, I would like to turn the call over to our first speaker, Seth Grae, Chief Executive Officer of Lightbridge. Hello, Seth.
Seth Grae: Hello, Matt, and thank you all for joining us to discuss Lightbridge's Second Quarter 2024 results. Lightbridge has continued to make progress on our fuel development program, and we will get into these updates shortly. I would like to begin today with an overview of what we are building at Lightbridge. There's undeniable excitement around nuclear energy right now. At COP28, we saw an international commitment to triple nuclear capacity globally by 2050. Here in the U.S., the ADVANCE Act, which was signed into law this month, has the potential to accelerate deployment of advanced nuclear technology. This momentum around the nuclear industry is critical as we confront the challenges of climate change, energy security and producing enough electric power. Lightbridge Fuel is truly unique. It doesn't consist of pellets in a tube. It's a complex high-tech metallic rod with multiple zones engineered for performance. We expect that the center line of our fuel rods will be about 1,000 degrees C cooler than traditional fuel rods, deliver longer fuel cycles, power uprates and higher burn up, which means more energy from the fuel source. Our fuel development spans several sites across 2 continents, including Idaho National Laboratory, the nation's leading nuclear energy research and development laboratory. It is also DOE's lead nuclear fuel testing laboratory. Earlier this year, we celebrated a landmark achievement at INL, where we successfully demonstrated certain key aspects of the sophisticated extrusion process for Lightbridge Fuel. A video of this extrusion is on our website. We are also collaborating on 2 Department of Energy, Nuclear Energy University program studies at MIT and Texas A&M University, along with NuScale power to better understand the performance of Lightbridge Fuel in a NuScale small modular reactor. We are also working with RATEN ICN in Romania, on a comprehensive engineering study to assess Lightbridge Fuel for use in CANDU reactors. These studies can potentially expand the applications of our fuel technology paving the way for broader adoption of Lightbridge Fuel. Our goals are ambitious to develop nuclear fuel that significantly improves economics, enhances nonproliferation and the ability to quickly adjust power output by load following to complement renewables. Many companies are developing new reactor designs, but Lightbridge is fundamentally rethinking nuclear fuel for the vast majority of reactors operating today and water-cooled reactors planned for the future. Now I'll turn the call over to Andrey Mushakov, Executive VP for Nuclear Operations, to review our fuel development activities. Andrey?
Andrey Mushakov: Thank you, Seth. As Seth mentioned, Lightbridge achieved a critical milestone in our fuel development efforts earlier this year. Idaho National Laboratory extruded an unclad cylindrical rod sample of Lightbridge Fuel material consisting of an alloy of depleted uranium and zirconium. This work was performed under Strategic Partnership Project and Cooperative Research and Development agreements between Lightbridge and Battelle Energy Alliance LLC, the U.S. Department of Energy's operating contractor for Idaho National Laboratory. We anticipate the initial phase of work under the 2 agreements that has been released will culminate in casting and extrusion of unclad fuel material samples using enriched uranium that will subsequently be inserted for irradiation testing in the Advanced Test Reactor at Idaho National Laboratory. Experimental data obtained during subsequent post-irradiation examination work to be released via future project test statement under our existing agreement with Idaho National Laboratory will be vital for our model development and validation efforts. In addition to our ongoing project at Idaho National Laboratory, we are working with RATEN ICN, an engineering study to assess the compatibility and suitability of Lightbridge Fuel for using CANDU reactors. We expect this initial engineering study to be completed later this year. Now I'll ask Scott Holcombe, our Vice President of Engineering, to give us an update on other ongoing projects and initiatives. Scott?
Scott Holcombe: Thank you, Andrey. First, with ongoing progress of our fuel development work, we've expanded and strengthened our fuel development team with hiring of additional R&D personnel with expertise in computer modeling and simulation, experiment design and execution and fuel qualification and regulatory licensing activities. Their additions aim to bolster Lightbridge's capabilities in Nutronics, thermal hydraulics, fuel performance and transient analysis, all critical components to support fuel qualification, regulatory licensing and commercial deployment of Lightbridge Fuel. The newly appointed R&D staff will support Lightbridge's ongoing collaborative projects, including our SPP and CRADA collaboration with Idaho National Laboratory in the United States, our engineering study with RATEN ICN in Romania, and 2 important projects under the Nuclear Energy University Programs with the Massachusetts Institute of Technology and Texas A&M University. These experts will lead the development of Lightbridge specific codes and methods, utilizing industry standard modeling tools to simulate Lightbridge Fuel across various types of water-cooled reactors. As we project further into the future, our road map towards full commercial deployment encompasses a series of intricate and scientifically rigorous steps. This includes the extensive irradiation of nuclear material samples and prototype fuel rods within test reactors followed by thorough post-irradiation examinations to validate material characteristics and performance metrics. Our comprehensive testing regimen will also involve advanced thermal hydraulic experiments and additional out-of-reactor tests, designed to rigorously evaluate our fuel safety and functionality. Advanced computational modeling and simulation will support the qualification process, ensuring that our fuel meet stringent industry standards. The combination of these efforts will involve the design of lead test rods and ultimately lead test assemblies and subsequent collaborations with commercial reactors and potential fuel vendor partners through the deployment of lead test rods and assemblies. Once successful operation of lead test assemblies with Lightbridge Fuel has been demonstrated in commercial reactors, we would seek regulatory approval for batch reloads of Lightbridge Fuel in those host reactors. With that, I'll turn the call back over to Seth.
Seth Grae: Thank you, Scott. The recent passage of the ADVANCE Act was a landmark moment for the entire advanced nuclear industry. This legislation is a game changer for several reasons. The Act aims to streamline the nuclear regulatory commission review process, specifically for advanced nuclear fuels, including high-assay, low-enriched uranium fuels. We believe this is a critical step towards bringing these innovative technologies to market. It's a clear signal of government support for this sector, which we believe bodes well for future investment into nuclear power. We see evidence of this today with a growing list of nuclear publicly traded companies. The need for clean and reliable energy has never been greater. The growth of data centers with AI, the rise of energy-intensive processes like crypto mining, and the growing electrification of transportation are all driving an unprecedented surge in demand for electric power. There's also a growing global consensus that nuclear energy is essential to meeting the Paris Agreement's goals cost effectively and equitably. The pledge last December at COP28 to triple nuclear capacity by 2050 is a testament to this. There is a clear shift towards greater demand for nuclear power across the entire supply chain. This is evident in the extension of licenses for existing plants, new reactor construction and the restarting of previously shutdown reactors. Uranium prices, both for the commodity itself and related ETFs are nearing record highs. This potential nuclear expansion could significantly increase the potential market for Lightbridge Fuel. We expect growing demand for more efficient, safer and economically viable nuclear fuel making Lightbridge an attractive option for both existing reactors and future power plants. Our focus remains on advancing our fuel development, strengthening collaborations with industry, government and academic partners and achieving our key milestones. Our ongoing fuel development and strong intellectual property portfolio position us well in an industry poised for global expansion. I'll now turn the call over to Larry Goldman, Chief Financial Officer, to summarize the company's financial results. Larry?
Larry Goldman: Thank you, Seth, and good afternoon, everyone. For further information regarding our second quarter 2024 financial results and disclosures, please refer to our earnings release that we filed post-market close yesterday as well as our quarterly report on Form 10-Q that will be filed with the Securities and Exchange Commission later today. The company's working capital position was $26.4 million, at June 30, 2024, versus $28.3 million at December 31, 2023. Total assets were $28 million and total liabilities were $0.9 million at June 30, 2024. Today, we have ample working capital and financial flexibility to support our near-term fuel development expenditures. This is very important to Lightbridge and our stockholders as well as our external stakeholders such as the federal government to ensure that we have sustained working capital as well as the ability to access capital in the future to conduct our R&D activity. Total cash and cash equivalents was $27.1 million as compared to $26.8 million at December 31, 2023, a decrease of $1.5 million for the 6 months ended June 30, 2024. Total cash used in operating activities for the 6 months ended June 30, 2024, was $3.7 million, an increase of $0.7 million compared to $3 million for the same period ended June 30, 2023. This increase was primarily due to increased spending on R&D and general and administrative expenses and changes in working capital. Total cash provided by financing activities for the 6 months ended June 30, 2024, was $2.2 million, a decrease of $0.1 million compared to $2.3 million for the same period ended June 30, 2023. This decrease was due to a decrease in the net proceeds from the issuance of common stock by our at-the-market or ATM facility in the first half of 2024. In support of our long-term business and future financing requirements with respect to our fuel development, we expect to continue to see government funding in the future, along with new strategic alliances that may contain cost-sharing contributions and additional funding from others to help fund our future R&D milestones, leading to the commercialization of Lightbridge Fuel. Now to the P&L for the second quarter of 2024. Net loss was $2.4 million for the second quarter ended June 30, 2024, compared to $1.7 million for the second quarter ended June 30, 2023. Total R&D expenses amounted to $0.9 million for the second quarter compared to $0.4 million for the 3 months ended June 30, 2023, an increase of $0.5 million. This increase primarily consisted of an increase in the INL project labor cost and outside R&D expenses of $0.2 million and an increase in allocated employee compensation and employee benefits to R&D of $0.3 million. We currently project investing approximately $8.3 million in R&D spend over the next 12 to 15 months. Total G&A expenses amounted to $1.8 million for the second quarter compared to $1.6 million for the 3 months ended June 30, 2023. There was an increase in professional fees of $0.1 million, an increase in employee compensation and stock-based compensation of $0.1 million. Total other income was $0.3 million for the second quarter, unchanged compared to the 3 months ended June 30, 2023. The company's interest income earned from the purchase of treasury bills and from our bank savings account for the 3 months ended June 30, 2024, was consistent to the 3 months ended June 30, 2023. Back to you, Seth.
Seth Grae: Thank you, Larry. And with that, we will go to the question-and-answer session. Thank you to everyone who has submitted questions. Matt, please go ahead with the questions.
Q - Matthew Abenante: Thank you, Seth. We received the following questions from Tim Moore, Senior Analyst and Managing Director from Clear Street. The first question, can you provide an update on upcoming milestones over the next 12 to 18 months, such as fuel material samples testing in the reactor?
Seth Grae: As discussed in our most recent 10-Q filing, we anticipate fuel development milestones for Lightbridge Fuel over the next couple of years will consist of the following: first, continue to execute strategic partnering project, cooperative research and development agreement work at Idaho National Laboratory, leading to casting and extrusion of unclad fuel material samples using enriched uranium and their subsequent insertion for irradiation testing in the Advanced Test Reactor. Second, complete a feasibility study for the use of our fuel and CANDU heavy-water reactors. And third, complete a front-end engineering and design study for Lightbridge Pilot Fuel Fabrication Facility with Centrus Energy. Matt, next question, please.
Matthew Abenante: And this is our last question. Regarding the recent ADVANCE Act legislation, how much time could that save on licensing permits, red tape being held up?
Seth Grae: We were very pleased to see the ADVANCE Act passed with such overwhelming support in both the House and the Senate. We're particularly encouraged by the expedited NRC licensing process for advanced nuclear fuel technologies, the Act directs the NRC to assess its preparedness to review and qualify the use of high-assay, low-enriched uranium fuels. The NRC has successfully regulated positive changes in the nuclear industry, including license extensions for many U.S. nuclear power plants and increases in capacity factors of the plants. We believe the NRC can streamline the review process and the ADVANCE Act shows that Congress prioritizes faster licensing. And with that, I'll just say thank you, everybody, for participating on today's call. We look forward to providing additional updates. In the meantime, we can be reached at ir@ltbridge.com. Stay safe and well. Goodbye.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.